Operator: ‘25 Earnings Release Webinar. I will now hand things over to Charles Eveslage, Head of Investor Relations. Charles, over to you.
Charles Eveslage: Thank you, Kelcey. Hello everyone, and welcome to Zoom's earnings video webinar for the fourth quarter and full fiscal year 2025. I’m joined today by Zoom’s Founder and CEO, Eric Yuan, and Zoom’s CFO, Michelle Chang. Our earnings release was issued today after the market closed and may be downloaded from the Investor Relations page at investors.zoom.us. Also, on this page you'll be able to find a copy of today's prepared remarks and a slide deck with financial highlights that, along with our earnings release, include a reconciliation of GAAP to non-GAAP financial results. These measures should not be considered in isolation from or as a substitute for financial information prepared in accordance with GAAP. During this call we will make forward-looking statements, including statements regarding our financial outlook for the first quarter and full fiscal year 2026; our expectations regarding financial and business trends; impacts from the macroeconomic environment, our market position, stock repurchase program, opportunities, go-to-market initiatives, growth strategy and business aspirations; and product initiatives, including future product and feature releases, and the expected benefits of such initiatives. These statements are only predictions that are based on what we believe today, and actual results may differ materially. These forward-looking statements are subject to risks and other factors that could affect our performance and financial results, which we discuss in detail in our filings with the SEC, including our Annual Report on Form 10-K and Quarterly Reports on Form 10-Q. Zoom assumes no obligation to update any forward-looking statements we may make on today’s webinar. And with that, let me turn the discussion over to Eric.
Eric Yuan : Thank you, Charles. Thank you everyone for joining us today. Our FY25 was an incredible year, marked by major advancements in AI, the evolution of Zoom into an AI-first work platform spanning Phone, Team Chat, Events, Docs and more, and strong momentum in Contact Center and Workvivo. A key highlight has been the rapid adoption of our AI capabilities, growth in monthly active users of Zoom AI Companion accelerated to 68% quarter-over-quarter, demonstrating the real value AI is providing customers. Zoom AI Companion has emerged as the driving force behind our transformation into an AI-first company, enabling our customers to discover enhanced productivity opportunities. We are always looking ahead, moving forward, and reimagining what’s possible to enable frictionless work. And now, we look forward to helping our customers fully realize the benefits of agentic AI and discover what’s possible with AI agents. As part of AI Companion 2.0, we added advanced agentic capabilities, including memory, reasoning, orchestration, and seamless integration with Microsoft and Google services. In April, we're launching Custom AI Companion add-on to automate workplace tasks through custom agents. This will personalize AI to fit customer needs, connect with their existing data, and work seamlessly with their third-party tools. We are also enhancing Zoom Workplace for Clinicians with an upgraded AI Companion that will enable clinical note-taking capabilities and specialized medical features for healthcare providers starting in March. Additionally, we are upgrading our Business Services by introducing more agentic capabilities. Zoom Virtual Agent will soon expand reasoning abilities to handle complex tasks while maintaining conversational context for more natural and helpful outcomes. We are uniquely positioned to succeed in agentic AI for several reasons: Zoom is a system of engagement for our users with recent information in ongoing conversations. This exceptional context along with user engagement allows us to drive greater value for customers. Our federated AI approach lets us combine the best models for each task. We can use specialized small language models where appropriate, while leveraging larger models for more complex reasoning; driving both quality and cost efficiency. Zoom is known for making complex technology simple for users. We manage the complexity of AI models while keeping the experience intuitive, powerful and connected with popular third party apps. We believe our strategic approach positions us favorably to help bring value to the customer. We're focused on delivering practical value while building toward an ambitious vision of AI that truly amplifies human potential for the customer. Our AI-first work platform continues to gain momentum, driven by our core strengths in meetings and expanding portfolio of integrated solutions such as Phone, Team Chat, Events and Zoom Docs, Whiteboard, and Zoom Rooms. We see this in the results; Zoom Workplace had a big win with Amazon in Q4. Within Zoom Workplace, Zoom Phone continues to see strong traction with both new customers and expansions. We built upon our strength in retail, healthcare and education, which delivered seven of our top ten Zoom Phone deals this quarter. The recent Mitel partnership opens up access to Mitel’s 70 million global end users and demonstrates how our open ecosystem approach is resonating with customers seeking flexible deployment models and choice. Zoom Team Chat continues to serve as the collaboration hub across our platform. The recent redesign of the sidebar has enhanced navigation and productivity, while our new workflow automation capabilities are driving deeper platform engagement. Beyond Zoom Team Chat, we are seeing encouraging adoption across our broader portfolio. Zoom Docs usage more than doubled quarter-over-quarter. Together with Whiteboard, which was a Customers’ Choice recipient in the 2024 Gartner Peer Insight, Voice of the Customer report for Visual Collaboration Applications, Zoom Team Chat and Zoom Docs are critical components of our AI-first platform vision that expand our system of engagement and allow customers to do more with AI. Both Contact Center and Workvivo delivered exceptional results this quarter. In Contact Center, we achieved our largest ARR deal in history with a Fortune 100 US tech company for over 15,000 agents, demonstrating our ability to win and deliver for the most demanding enterprise customers. The number of Contact Center customers with over $100,000 in ARR grew over 100% year-over-year with wins both displacing on prem and leading CCaaS vendors. Our AI-first approach is resonating strongly, the majority of our deals are now in the higher-tier Elite or Premium packages, validating the power and customer appeal of our comprehensive AI and workforce engagement capabilities. Workvivo also had a record quarter driven by strength across all regions. The total number of Workvivo customers grew 89% year over year, accelerating from 79% in Q3. We signed three deals over $1 million in ARR, each with major global brands. Our strategic partnership as the preferred migration partner for Meta Workplace has been a strong contributor to this momentum. These solutions are critical components of our AI-first work platform vision. Contact Center extends our platform from employee engagement to customer engagement, while Workvivo broadens our employee collaboration to internal engagement and culture. Together they exemplify our strategy of thoughtful expansion into high-growth areas where we can deliver differentiated value through our platform approach, AI leadership, and rapid innovation for the customer. As we look ahead to FY26, we are focused on our key strategic priorities: expanding our AI capabilities to drive customer value, rapidly innovating within Zoom Workplace, and, building upon momentum in new products such as Contact Center and Workvivo. Despite ongoing macro challenges and uncertainties, we are encouraged that our value proposition and total cost of ownership are gaining traction in the market. Our innovation engine is firing on all cylinders, our platform strategy is working, and we have significant opportunities and growth vectors to execute upon. Now, on top of the record-setting Contact Center win I just highlighted, let me share some more amazing wins in Q4. We are excited to offer Zoom to Amazon employees and further strengthen our longstanding relationship with AWS as our preferred cloud provider. This builds on the success we’ve achieved helping customers easily procure and deploy Zoom through AWS Marketplace. Let me also thank Delta Air Lines, who this year is the first U.S. airline to celebrate its centennial, for choosing Workvivo as their employee communications and engagement platform. Upon the sunsetting of Meta Workplace, Delta strategically chose to migrate to Workvivo. As part of a multi-year deal, Workvivo will serve Delta's entire global workforce, reinforcing their strong company culture with omni-channel reach and key features like live streaming, employee recognition, and comprehensive engagement analytics. Let me also thank Cloud Software Group, a global mission critical enterprise software leader, as one of our newest CX clients to the Zoom family. Recognizing the simplicity and ease-of-use of our unified platform, they opted for the Zoom Contact Center and Zoom Virtual Agent to modernize the way they communicate and collaborate with their customers. These incredible wins across Workplace and Business Services validate our strategy of delivering a full platform of modern, integrated AI-powered solutions to drive meaningful business value and outcomes for customers. Now, let me hand it over to Michelle to take us through the financial results. Thank you.
Michelle Chang: Thank you Eric. And hello everyone, I’m excited to be with you again and share that we beat our top-line and profitability guidance. In Q4, total revenue grew approximately 3% year-over-year to $1.184 billion, $4 million above the high end of our guidance. Total revenue adjusted for constant currency grew approximately 4% to $1.188 billion, $9 million above the high end of our constant currency guidance range. Our Enterprise revenue grew approximately 6% year-over-year and now makes up 60% of our total revenue, up 2 points year-over-year. We are continuing to see signs of stability in our Online business. In Q4, Average Monthly Churn was 2.8%, a 20 basis point improvement year-over-year, and our lowest ever churn rate in a fourth quarter. In our Enterprise business, we saw 7% year-over-year growth in the number of customers contributing more than $100,000 in trailing 12 month revenue. These customers now make up 31% of our total revenue, up 1 point year-over-year. Our trailing 12 months net dollar expansion rate for Enterprise customers in Q4 remained flat quarter-over-quarter at 98%. The total number of Enterprise customers at the end of Q4 was approximately 192,600. As we have said previously, Enterprise Customer Count is more reflective of our go-to-market motion rather than a direct measure of our Enterprise business performance. We will continue to do migrations between our two go-to-market motions in order to better serve our customers as we did last year, and as such going forward into next fiscal year, will no longer include this metric in our prepared remarks or SEC filings. To provide ongoing transparency we will include it in the earnings deck appendix through FY26. We still believe that enterprise revenue growth and KPIs such as Net Dollar Expansion are better reflections of our future business and expect future migrations to have minimal impact on these metrics. Now, back to our financial results. Pivoting to our growth internationally; our Americas revenue grew 4% year-over-year, EMEA grew 2%, and APAC grew 3%. On a constant currency basis, EMEA grew 2% and APAC grew 5% year-over-year. Moving to our non-GAAP results, which as a reminder exclude stock-based compensation expense and associated payroll taxes, acquisition-related expenses, net gains on strategic investments, and all associated tax effects. Non-GAAP gross margin in Q4 was 78.8%, slightly lower than Q4 of last year, primarily due to our strategic investments in AI, partially offset by efficiency gains. The results in Q4 were in-line with our prior commentary, and we continue to reiterate our goal of reaching 80% gross margin over the long term. Non-GAAP income from operations grew by 5% year-over-year to $468 million, exceeding the high end of our guidance by $20 million. Non-GAAP operating margin for Q4 improved to 39.5%, up 81 basis points from Q4 of last year, even amongst continued investment in AI, our platform, and our emerging growth businesses. Non-GAAP diluted net income per share in Q4 was $1.41 on approximately 317 million non-GAAP diluted weighted average shares outstanding. This result was $0.11 above the high end of our guidance and $0.01 lower than Q4 of last year, primarily due to higher income tax and unrealized foreign exchange losses. Turning to the balance sheet. Deferred revenue at the end of the period grew 7% year-over-year to $1.35 billion, outperforming the 5% to 6% we estimated last quarter. The growth was driven by the continued refinement of discounting practices, as well as ongoing business growth. For Q1, we expect deferred revenue to be up 4% to 5% year over year. Looking at both our billed and unbilled contracts, our RPO increased 6% year-over-year to approximately $3.8 billion. We expect to recognize 59% of the total RPO as revenue over the next 12 months, up from 58% in Q4 of last year. Operating cash flow in the quarter increased 21% year-over-year to $425 million. Free cash flow grew 25% year-over-year to $416 million. Operating cash flow and free cash flow margins in the quarter expanded to 35.9% and 35.2%, respectively. We ended the quarter with approximately $7.8 billion in cash, cash equivalents and marketable securities, excluding restricted cash. Under our $2.7 billion share buy-back authorization, in Q4 we purchased 4.3 million shares for $355 million, increasing our repurchases quarter-over-quarter by $53 million and contributing to the reduction of common share outstanding in Q4. Pivoting from Q4, I would like to share a few of our full year FY25 highlights. Total revenue grew 3% and total enterprise revenue grew 5% year-over-year, both of which accelerated in the second half. Our free cash flow grew 23% year-over-year to $1.8 billion. We also achieved a non-GAAP operating margin of 39.4%, a 20 basis point improvement from FY24. And finally, we made significant progress on stock based compensation, down to 20% of revenue, representing a 3 point reduction year-over-year and slightly ahead of the pace of reduction discussed at Zoomtopia. And, we repurchased 15.9 million shares for $1.1 billion, contributing to the reduction of common stock outstanding in FY25. Now turning to guidance. In Q1, we expect revenue to be in the range of $1.162 billion to $1.167 billion. This represents approximately 2% year-over-year growth at the midpoint, or 2.6% year-over-year growth on a constant currency basis. As a reminder, Q1 of FY26 has one fewer day than the prior year. We expect non-GAAP operating income to be in the range of $440 million to $445 million, representing an operating margin of 38% at the midpoint. Our outlook for non-GAAP earnings per share is $1.29 to $1.31 based on approximately 316 million shares outstanding. And as a reminder, future share repurchases are not reflected in Share Count and EPS guidance. For the full year of FY26, we expect revenue to be in the range of $4.785 billion to $4.795 billion, which represents approximately 2.7% year-over-year growth at the midpoint, or 3.1% year-over-year growth on a constant currency basis. We expect our non-GAAP operating income to be in the range of $1.85 billion to $1.86 billion, representing an operating margin of approximately 39% at the midpoint. Our outlook for non-GAAP earnings per share for FY26 is $5.34 to $5.37, based on approximately 318 million shares outstanding. For FY26, we expect free cash flow to be in the range of $1.68 billion to $1.72 billion. We are proud of our progress in FY25 and we’re excited about the differentiated agentic AI vision and the value it’s delivering to customers. We'll continue to invest thoughtfully in our priorities that we’ve outlined while maintaining our focus on profitability and cash flow generation. We are excited and incredibly grateful for the trust and support of the entire Zoom team, our customers, and our investors. Kelcey, please queue up the first question.
Operator: Thank you so much Michelle. [Operator Instructions] Our first question is going to come from Kash Rangan with Goldman Sachs. Kash, go ahead. Thank you so much.
Kash Rangan : Hi, thank you so much. Congrats on finishing up the fiscal year. Eric, A question for you. you've certainly made a lot of pivotal advances positioning the company to be very AI-first. It shows up in the quarter-to-quarter usage of Zoom Companion, the Amazon deal that you won. Congratulations. As you look ahead, do you think the AI capabilities could -- where do you think the AI capabilities could become a tailwind for your business in that, it starts to drive, accelerate maybe the underlying platform and the AI features are additive to the revenue growth rate. We're still stable, but could this set the stage up for better than stable growth? Thank you so much.
Eric Yuan : Kash, that's a great question. That's to double down on AI investment, it's always our top priority. Right? For a while. Right? I think it's happening already, meaning if you look at our low-end SMB customer online buyers, AI Companion is part of that at no additional cost, made our service very sticky and also the customers give a very basic example, like meeting summary, right? It works so well, more and more customers follow the value. Actually, for sure, they are going to enjoy using our service model, right? That's for low end. For high end, for sure, and we understand that today AI Companion, and additional cost, we cannot monetize. However, in April, we are going to announce the customized compliant for interested customers. We can monetize. But the most important thing is for business services. You take a Contact Center, for example, why we are winning? Because a lot of AI features like AI Expert Assist. AI, a lot of features built into our quality management and so on and so forth. But all those business services, that's another great way for us to monetize AI for workplace and for enterprise customer AI Companion low end and also really make our [service ticket] (ph) and improve the value is actually customer realize we add more and more services, more and more value, guess what they are going to [see with Zoom plus] (ph) usage also will be higher. That's our strategy to lever the AI.
Kash Rangan: Thank you so much.
Eric Yuan : Thank you Kash.
Operator: We'll move on to Samad Samana with Jefferies.
Samad Samana: Hi, good evening. And I'll echo Kash's kind words as well. It's good to see all the progress that Zoom is making. I guess on the AI side, I want to follow up on that, Eric, when you think about there's new AI-based products, but how is AI impacting the decision by larger customers, in particular, to adopt maybe the existing components of the platform and thinking about expanding leveraging Zoom in advance of the AI features that are being released? And maybe just to dovetail that into, I'll cheat and ask two in one. Michelle, what are you assuming around AI investments? And are those kind of fully embedded into guidance for the year? So those are my two questions.
Eric Yuan : Yes. So I can address the first part of your AI question. So you look at from a customer or partner perspective, right? So almost the vendor, almost every vendor right, they try to pitch their AI story. A customer is smart, our customers want to understand what's the value? The AI added to their business, right? So they would like to take kind of to test the area services. We especially look at the value and the cost, right? And I look at our AI Companion, all those AI Companion core features today and a new additional cost, right? And customer like it because the quality is getting better and better every quarter and very useful, right? Not like some other competitors, right? You talk about the AI strategy and when customer realize that, wow, it's very expensive. And the total cost of ownership is not getting better because cost of the value is not great, but also it's not free and you always try to increase price. That's the reason why for us to leverage our AI technology to build this the trusted relationship with customer. And I think we are going to win in the long run because you don't want to tell a customer, hey, we are efficient now. You need to pay more. You need to do this, do that. That's not right. That's the reason why -- we shared our AI strategy, road map features, pricing, everything with our customers transparently, reflected by the AI combined usage, we are winning more and more customer trust. Zoom has a very good AI functionalities and also the trust of Zoom, they are now going try the customer, create the price, right? I think that's the way for us to be the long-term winning.
Michelle Chang : And then maybe just to add on with how to think about AI and what's in our guide. I would say from a top line perspective, the trends that we're seeing in stemming churn as well as the contact center elite revenue that Eric talks about out, those are in our plans. We certainly have revenue in our plans for the more H2 focused SKUs like custom AI companion, but those will still obviously be ramping and not a dominant thing. And then in terms of the investment, we said last time that this would be one of our three investments, and it's baked into the guidance.
Samad Samana: Great. Thank you both so much.
Operator: Ryan MacWilliams with Barclays has the next question.
Ryan MacWilliams: Hi guys. Good to see you. Greetings from Switzerland. This is a new one for me, out of here asking the question on earnings call. Michelle, two for you. Lots of growth opportunities for Zoom. How would you rank the top 3 drivers for Zoom's net new revenue in fiscal 2026 between like Contact Center, AI and Phone, et cetera. And then as you builds up for the full year guide. How should we think about what it implies from contributions from the enterprise customer segment and the online grocery?
Michelle Chang : So let me maybe answer the first one and then I'll round back to the other one, Ryan, and I hope you're well in Switzerland. But our -- I would say, when you look at the full year guide that we gave of 2.7% when you factor sort of FX and leap year gets much more in 3.3% range. So just as context. Within that, I would say that we have assumed that online will be flat to slightly down and that enterprise will really be the dominant growth driver. So in terms of how to think about the top three, I think I would answer it like this. Look, certainly, let me go to the core Ryan, where like our core business, and when I talk about core, it will sort of be inclusive of [Phone] (ph), we are pleased with what we're seeing in terms of record churn. And also, I would say we're seeing the same in our enterprise business. So where downfalls had sort of peaked in the start of 2025, we're now seeing sequential improvement every single quarter, which is great. And so we certainly have an expectation and those are big dots. Then I would go to sort of our adjacent path flowing TAM like contact center and Workvivo and both are certainly important to us where we will be working to continue to grow kind of customer and the successes that we've seen both upmarket and extend those down through channel. And in particular, you sort of asked an AI question, so let me leave that one in, which is just the connection again that our contact center revenue is really being driven by that elite SKU, which is our top 140 SKU, which includes not only inbound to outbound, but AI as well.
Ryan MacWilliams: Excellent. Appreciate the color. Thanks guys.
Operator: We'll move on to Meta Marshall with Morgan Stanley.
Meta Marshall: Great. Thank you. Maybe just a quick question on just what kind of go to market investments you guys are making kind of as you broaden the portfolio and as you kind of see what has more traction with customers, particularly when it comes to contact center? And maybe just asking on the big deal that was one, just kind of what was the go-to-market motion with winning kind of that large customer? Thanks.
Michelle Chang : Do you want me to?
Eric Yuan: Yes, go ahead.
Michelle Chang : I was going to answer broad things and maybe you can layer in from a deal perspective. Does that sound good? All right. So it's nice to see you again as well. What I would say in terms of our priorities for our go-to-market, maybe the first one that I would call out is just to continue the move up market that we've been seeing. We have really seen progress in contact center and Workvivo in that space, but also in phone and others. So first priority go-to-market wise would certainly be to move our enterprise continue to move our enterprise business up market. Second thing really important to us, we've talked about it before, is integral to phone and contact center, but also moving further down in our customer breadth, which is really accelerating the channel. And then I would say, probably third to that is returning our online business to growth. While I sort of said the guide was flat down, the ambition, of course is to return it to growth. So that's how I think about our top three priorities. Eric, do you want to comment on the field?
Eric Yuan : Yes. So yes, maybe to add on what Michelle said in terms of doubling down our channel, the business, look at our contact center in Q, top 10 deals and contact center, six out of those 10 deals are driven by the channel partners. So, and we are going to and kind of investing more, right, to make sure that the channel partner can contribute more to our content center growth, so.
Meta Marshall: So Great. Congrats on this large scale.
Eric Yuan : Thank you.
Operator: And the next question comes from Alex Zukin with Wolfe Research.
Alex Zukin: Guys, congrats on a great quarter. Maybe just two parter, right? So first, to the extent, Eric, that you can talk about the demand environment post-election, the difference between the two segments in online and enterprise. And maybe talk about what you're seeing in SMB? What you're seeing I've gotten questions about federal exposure and all the Doge headlines. So just talk about you mentioned in the script that it's still choppy, it's still uncertain. So maybe put a finer point on that. And then what kind of got you over the line with Amazon in terms of winning that deal? And you're now at a point where kind of two of the MAG7 are deeply partnered and entrenched with Zoom, where to some extent they were effectively competing with one or two of your products beforehand. So what is kind of happening and how do you kind of see the opportunity to turn those into almost also distribution channels? You mentioned the Delta example with Workvivo. Amazon, I imagine, has a number of Chime customers that now maybe are opportunities.
Eric Yuan : So, Michelle, how about I address the second one? You addressed in the first one.
Michelle Chang: Yes, so look, I would say -- I would characterize what we're seeing in the macro environment as mixed but stable. To the positive on the enterprise side, we're seeing a lot of upmarket momentum and you can see it in our results. I mentioned earlier, so I won't repeat it again, but sequential improvement in the down sells on the enterprise side. Also on the online, we are seeing record low churn rates in both Q3 and Q4. So those you can look at and say positive. But certainly, you open the headlines and you see elements of layoffs and ambitious or sort of volatile times, if you will, in the news. And so, I would say that's sort of behind our sentiment that things are still mixed.
Eric Yuan : Yes. So regarding the Amazon deal, as you all know, right, Amazon was using the time, which was acquisition down many years ago, right? So and you look at the video conferencing, and that is becoming more and more important. Again, Zoom not only just video conferencing, the full workplace platform, a lot of other services even in the conference room system, right. So, Amazon, they are evaluating all those services. They want to find the best product to serve their employee needs, right? So, Amazon, great company, does care for the employee experience, right? By looking into all the services, right? So, for sure, Zoom is the best choice, right? So they would like to deploy the Zoom, right, to improve their communication and collaboration, the needs. That is kind of for all those companies, right, really care about employee experience, I think they all will select Zoom as a vendor. So speaking of distribution, we already started working together with Amazon. I think there is a huge opportunity ahead of us how to leverage the Amazon marketplace to drive our top-line growth. We already see some early signs of success. We're working together with Amazon team more and more to drive again, this is part of a channel partnership, right? It's Amazon workplace is doing very well for a lot of other companies, right? So, we also want to be part of that as well. So, that's a win-win, I think.
Operator: Thanks, Alex. And Evercore's Peter Levine has the next question.
Peter Levine: Great. Thank you for taking my questions here. So in April when the AI customization, the AI companion comes available, I think it's $11 or $12 a seat. Can you maybe help us understand how you're thinking about like what's the real use case? And then in terms of adoption, like what are you envisioning in terms of how many employees within an organization would actually need this type of application? And then second for you, Eric, you do see the headlines around even in our world and banking where a lot of people force me back five days a week. Maybe just help us understand like how are you thinking about that? Does that at all prohibit your customers maybe thinking about expanding? But just would love to know kind of your thoughts on if this back to office five days a week becomes more of a reality?
Eric Yuan : Yes, I think five days working week is for financial institutions. I think I fully understand, right, because it's very important, like kind of in-person and meetings for sure, there's a lot of benefit, I fully understand. But also at the same time, and like for every large financial institutions, you always have employees across the country and also a lot of international branch offices as well. And you talk to the customers, partners, you still use Zoom, right? I think internal usage, right, like might be kind of up and down. But overall, and on a truth like Zoom, it's still very important to be a business collaboration truth. I do not have any concern. I truly respect every company decision either fully remote or five days in office or hybrid. We sort of the thing for each company, right? So we just want to help our customers to enable and no matter which way they go and then make sure they have a best collaboration and communication tools, right, to help them improve their productivity. Michelle, you want to address the first one?
Michelle Chang : Yes. Maybe I'll let you talk about the use cases. But, Peter, in regards to your question about what are sort of the assumptions or what's the targeting in our head with the $12 custom AI companion SKU. I would say, starting with enterprise customers, obviously, the easiest place to sort of hunt on that is up our own customer base and talk about that, but certainly not just limited to that. But we'll be probably giving a lot more, I would say, at Enterprise Connect, which you can see on that, the thing there. But I would say, we've assumed some degree of monetization in FY 2026. I think you'll see more of it in 2027. And we think that the $12 price point is going to be a really compelling TCO story for our customers really differentiated from what others in the market are pricing up.
Eric Yuan : Yes. So regarding the customer combining use cases, high level is we give a customer flexibility to customize their needs. I give a few examples like one feature like we have a Zoom service called a video clip. We are going to support the standard template, right, how to support every customer, they have a customized template for each of the users, this is part of a Companion Studio right, and also all kinds of third-party integration, right, and they like they prefer, right some of those kind of third-party application integration with their data, with their knowledge, with their dictionary, a lot of things, right. Each company is different, they would not get customized, so we can leverage our Companion Studio to work together with the customer to support their needs and also at the same time we can monetize.
Peter Levine: Thank you very much.
Eric Yuan: Thank you, Peter.
Operator: We'll now hear from Mark Murphy with JPMorgan.
Mark Murphy: Thank you. And I will echo Kash's congrats on finishing the fiscal year. Eric, I wanted to try to get your thoughts, your perspective on DeepSeek and any potential you see for lower inferencing costs in AI models if DeepSeek is something that you're testing out? And Michelle, looking at how strong the cash flow production is, can you speak to the cost or margin profile for the AI products? And what type of gross margin profile you see you maybe are thinking would be coming into the AI Companion as well?
Eric Yuan : Yes. So, Mark, yes, I can address your first question regarding the DeepSeek. And I think a few weeks ago, right, I did publish a LinkedIn post about my thought about the DeepSeek after the earning call, I will forward that LinkedIn post. For high level, I think given this is open source, I really like to be called open source, right? If you look at it from vendors like us, kind of we build application layer and the AI technology, we also build our own large language model, a lot of techniques, news, a lot of open optimizations, so as well as we all can learn from. This is good for the application and the vendors like us. And as you can follow large language models, I also like to take a lot more for example, right, also kind of look at the DeepSeek and also by the way, look at even for hardware vendors like Media, Broadcom, [IMD] (ph) also good for Zoom as well. The reason why there is a lot of demand for GPUs, right, and normally they serve those very large cloud vendors first, because we bought a lot. Like for Zoom, probably we are not on the top priority, maybe second priority, and a lot of other companies behind us with large cloud vendors, they don't want to buy way more. However, the huge demand, we want to buy more. And after that, a lot of other companies also want to buy more. Overall, I think it's good for everyone. And also the cost for like from hardware side, large language model, the application, reference, everything. As you look at that, we will drive the cost down. That's why overall, that's beautiful industry because it's open source, right? And so and that's my take on that.
Michelle Chang : And then, Mark, maybe your question about kind of how to think about the margins. We're not going to obviously give in any guidance or probably going forward any AI specific margins. But I would say that we look at those very closely and our margins for every active user are coming down in-line with what our expectations would be, if not more. What I would say maybe more broadly to maybe address where I think you may be going with the question is that we're very pleased with our margin finish in FY25. And while we don't guide to the margin in 2026, I would say we feel good that our increased usage in AI and our spend there is going to be offset by efficiencies such that we should be able to see in FY 2026, some acceleration of margin in line with sort of not up to the 80% but holding very true, I guess, Mark, to the principles that we set in our long-term margins.
Mark Murphy: And Michelle, thank you for that. But just to clarify, I think you said margins for active users are coming down. Did you mean the cost profile is coming up?
Michelle Chang : Yes. Cost. Yes.
Eric Yuan: Thank you, Mike.
Operator: Our next question will come from Michael Turrin with Wells Fargo.
Michael Turrin: Thanks very much, nice to see everyone. I was intending to continue on the margin question. So there's a little bit of a follow on here. But Michelle, first from a full year guide, can you just speak to the delta between implied operating and free cash flow margin? What's driving that for the upcoming year? And maybe just going back to margin trajectory, Zoom has had higher targets that suggest margins may come down as investments go up. You're guiding for just slight compression on the operating margin side. So maybe just how you're thinking about the trade-offs if that still holds or what could shift that at all if you don't mind? Thanks very much.
Michelle Chang : Perfect. So let me start with what I think is more tactical, but Michael, by all means, correct me if I'm misunderstanding your question. On the free cash flow, for 2025, we're certainly seeing quite the strong growth. There's obviously timing elements of that that can pull forward relative to 2026. Our expectation on 2026 is that you still continue to see that OI growth, but you're impacted by timing differences, as well as different interest conditions and tax conditions. So it's kind of how I would have investors think about free cash flows. In terms of your operating income and kind of how we think about it long term, I actually think you key to that beautifully, which is, look, we are going to be first and foremost about revenue growth, so we are also going to balance that with profitability. And our long term guide, we gave sort of what I would call as a wide margin of possibility of things that we would do. And really what Eric and I have been centered on is giving clear and clean prioritized business priorities to investors, so you know where we're investing in. And then really, look, we are going to invest when we see growth, but we're also going to be just pushing an ongoing frame of efficiency. And I think you really see that in our '26 guide, and I think you should expect to see similar.
Michael Turrin: Thanks very much.
Operator: Moving on to Arjun Bhatia with William Blair.
Arjun Bhatia: Perfect. Thank you so much. Eric, I have one for you and Michelle, one for you. Eric, you mentioned agentic AI. As you're moving more towards agentic and you're adding agents to your platform, how do you think about just evolving your pricing model? Does that fall under the broader AI companion? Or do you anticipate having different pricing approach for Agenda capabilities? And then, Michelle, it seems like you're just having a lot of traction with enterprise. It seems like that part of the business is going well. When do you think we should see NRR start to inflect and maybe what are the puts and takes there going into FY’26? Thank you.
Eric Yuan : Yes. So regarding the agentic capabilities, today, you look at Zoom AI combined product, it's already agentic, right? So essentially, look at it for [$1 to $2 to $2 to $2] (ph), we already embrace the authentic framework, right? So like we have a workplace agent and also have business-as-a-services agent, I mean, like a part of a contact center, we also can support a third party agent as well. And meaning, this is more like a technology natural evolution from GenAI to Agentic framework, where every company is doing that, we are doing that as well, because this is very important and the new technology, new framework and a lot of agents were built by us and the live at Zoom AI companion studio, customers who can build the agent as well. I do not think we need to have a special SKU, right, because this is part of our the Zoom AI companion studio, right, and to offer customers an agentic capabilities.
Michelle Chang : And then maybe on your comments on the guide, I just continue to reiterate that that full year guide has some headwinds of foreign exchange and leave here sort of without 2.7 when you factor them in 3.3. I'll reiterate my comments on online sort of the expectation is that it's flat to slight decline and that really enterprises what we expect to carry the growth. And in terms of the elements of what we expect to carry the growth and it would be an acceleration, but it's the same things we've been talking about and frankly seen throughout FY25, pushing up market, gaining channel traction and seeing churn and down sells moderate and then certainly growing into our land and expand motions even further with Workvivo and Contact Center.
Arjun Bhatia: Okay, perfect. Thank you.
Operator: James Fish with Piper Sandler has the next question.
James Fish: Hey, guys. Thanks for the question here. Building off of a bunch of the prior ones, but as we think about a shift more towards AI contribution, are we shifting more towards a consumption model rather than a seat model over time? And why wouldn't we see margin compression longer term? Or how are you guys kind of thinking about balancing fee based pricing and consumption based pricing? And also working off of Turin's prior question, you are guiding for a free cash flow conversion rate that is beneath what you guys just did and you mentioned, Michelle, some pull forward. So how should we think about what sort of pull forward in the cash flow that wouldn't be repeating or why we wouldn't be closer to a sort of 100% free cash flow conversion at times?
Michelle Chang : Yes. I can start with that. Let's see, your first question was sort of around how to think about margins and business models and why we don't see compression. And what I would say is that what we expect to see is similar to what you saw in FY25, which is we're seeing obvious increase in costs from our AI and that we have an ongoing methodical kind of efficiency list to offset. And we certainly expect that broadly to continue into FY26. So I think we feel good about our ability to kind of moderate that. Maybe other things I would talk about, Eric mentioned in his prepared remarks, but we really think the federated approach that we have to AI is an important element to being able to both give better quality of results, but also improves cost, meaning being able to match the right model at the right cost to the right action that needs to be done for customer value. So that's really how we're thinking about managing things broadly. There is other things we do more holistically where we can offset stuff that's maybe not in AI in our margins, things like colos, etcetera, that we've talked about previously. And then your question around free cash flow, I sort of understood of why don't we see more of an increase similar in-line with what we saw in 2025, so let me answer that. First of all, in FY25, we have interest rates that were growing off of a large base as well as we saw billings and positive operating income. As we go into 2026, we are going to see different interest rate conditions, different tax conditions, as I mentioned, but still that same growth from operating income. So really, it is sort of the timing thing. The other thing that I might mention that we've not talked as explicitly about is our broad guide, be it in revenue or operating income, continues to use a consistent methodology to what Zoom's used before, kind of that prudent consistent where we aspire to beat.
Operator: Thanks, James. We'll move on to Tom Blakey with Cantor Fitzgerald.
Tom Blakey: Great. Thank you for taking my questions. Maybe just seems like everybody else is doing too. I'll try to sneak two in, Eric and Michelle. On the CCaaS side, great successes here. I was wondering if you could talk a little bit more about that longer term plan to get CCaaS up to 10% of revenue in line with the Zoom phone timeline, maybe that's being pulled in a little bit here with the successes in the higher tiers, Eric? And then maybe on Workvivo, again, just solid numbers, great traction last year. Wondering with the meta workplace migration opportunity, if you wanted to just maybe double click on that, maybe this is for Michelle, if you may be seeing there's still enough runway there that continue that type of growth accelerant can continue in fiscal ‘26 and not become more of a headwind, that'd be helpful. Thank you so much.
Eric Yuan : Yes. So Tom, regarding the contact center contribution to our top-line, growth for sure, there's always our aspiration to contribute to leverage the contact center contributing more. I think the timing wise is perfect. There's a lot of indirect customers still deploy on prem solution. Take this largest ARR win. So that Fortune 100 U. S. Tech companies, they were using on prem solutions, right? And when they decided to migrate it to cloud based version, for sure, they wanted to look at all the cloud vendors, they want to make sure the native to build the cloud, the solution with also all the innovations, AI is part of that. That's the reason why we are in much better position, right? And also, the product front, we have high confidence. On the go-to-market side, we also needed to double down on the channel, a lot of things are doing very well, also reflected by more than 50% of top 10 deals in Q4 also driven by the channel partners. As long as the focus on the innovation with AI and all the features, right, drive the velocity and at the same time and listen to customers and double down go to market side, I think we are going to be in much better position. This is a growing and the AI driven content market. Yes.
Michelle Chang : And Tom, maybe I'll hit your Workvivo and then some broad comments about the two products together. From a Workvivo, like you said, we feel great, record bookings, excuse me, 89% growth in customer, so all very durable things. Certainly, meta, and we called that out in our prepared remarks, is driving a lot of that. But I'll remind you that we had non meta growth before, and so we feel good about our ability to drive both, frankly. And then we're not going to give guidance. You have our overall revenue guidance. You have kind of the color and context on the enterprise versus online split. But I would say that the elements, the kind of underlying durable elements of what drove '25, we expect to be present in '26.
Tom Blakey : Thank you very much.
Operator: Bank of America's Michael Funk has the next question.
Michael Funk: Great. Thank you. Thank you, Eric. Thank you, Michelle. You must be proud of what you've achieved last two years. I wanted to level set the discussion around revenue growth though because the previous narrative was a march towards mid-single digit revenue growth. You're still guiding below that for fiscal ‘26. So, one of the better, Steve, if the strategy may be shifted to customer stickiness, meaning bundling and discounting, or if the other factors are at play here, maybe online churns being a little bit higher, maybe macro has been more difficult, maybe you're waiting to have more monetizable AI solutions. But want to better understand kind of level set that revenue growth forecast for longer term because previously it was discussed as the mid-single digit target?
Michelle Chang : I'll maybe take that one, Eric, and then feel free to jump in. But I would say I don't think there's been a change relative to that. Meaning, if you go to the core of our business, like our guide and our performance reflect the same thing, which is we are seeing sequential improvements in down sell in enterprise. We are seeing record level churn low churn, excuse me, in online. And then the elements that will drive '26 are the same move up market, broaden channel from a go to market perspective, from a product perspective, growth in phone, growth in Workvivo, growth in contact center. So I really don't see it as a shift in approach. And from a macro perspective, we've also seen like macro conditions.
Michael Funk: Okay. And maybe a quick math question, Michelle, maybe it's a rounding thing, but look at the revenue from over 100,000 customers year-over-year simply taking a percentage of revenue, a number of customers. It looks to be declining slightly. Is there a change or a shift in the 100,000 customers? Is there different product set that you're selling into them? Or is my basic math incorrect?
Michelle Chang : Our over 100,000 trailing twelve month customers grew 7%. Am I misunderstanding your question?
Michael Funk: Yes. If I simply take a percentage of revenue from those customers and then divide it by the number of customers, I get to a lower amount of revenue per customer than a year ago. Maybe we can take it offline if that's a better view.
Michelle Chang : I'm happy to take it in the next follow-up for that.
Michael Funk: Okay. Thank you very much.
Michelle Chang : The big picture, so people have the sentiments, we feel good about our traction in that market.
Michael Funk : All right, thank you Michael, thank you Eric.
Operator: Moving on to Rishi Jaluria with RBC Capital Markets.
Rishi Jaluria: Wonderful. Thanks so much for taking my question. I'll keep it to one, just given timing. Eric, I appreciate that you're talking about Zoom chat and highlighting that in your prepared remarks. Can you talk a little bit about where you're getting some of the traction and what's the impact that you're seeing in your customer base, whether it's better churn, whether it's better expansion rates, adoption of other adjacent products? Any color there would be helpful. Thank you.
Eric Yuan : Thank you, Luis. You talked about our Zoom team check, right? So, yes. So, you look at maybe one of the deals I want to share with you, like in Q4, right? We ran a big deal in the manufacture, the market, right, like 30,000 seats, Zoom workplace seats and also the 12,000 Zoom team chat users, right. Because the reason why customer when we talk to the customer's entire Zoom workplace suite and realized Zoom team chat is part of that, is at a no additional cost. And look at the functionality and a lot of features and innovations, why not? This one is standardized Zoom, right? Essentially, when customers realize the power of Zoom team chat, they are all very interested, right. That's the reason why you look at some startup companies, right, they also look at, given that they do not have a lot of the capital, right, and when they deploy Zoom, they also found our Zoom team chat. So again, from product perspective, it's pretty cool product service because we already had that for a long time. Just from marketing perspective, a lot of customers did not know that, right? So that's the reason why we need to figure out a way to fix that problem. Again, this is the power of the entire Zoom workplace suite. Team chat is part of that. Many customers deployed the meetings and the phones, they did not realize, if team chat is already part of that, why not use that, right? So and shame on us, we need to fix that into the marketing problem or maybe adoption problem, right? Again, that's our [reader] (ph) screen to address that.
Michelle Chang : Maybe I'd also highlight, Rishi, just a current example that just stuck with me, which is we saw a recent customer in a Compute versus Microsoft with 12,000 users, and they commented that the chat and the kind of inclusive value was integral to their decision. So we are well, it's still early days and we're working on it. We're excited by what we see.
Rishi Jaluria: All right. Very helpful. Thanks Eric, thanks Michelle.
Eric Yuan : Thank you. By the way, Rishi, you also can use Zoom Team Chat as well. We can connect over Zoom with Team Chat. So yes.
Rishi Jaluria: That's very good. I appreciate that.
Eric Yuan : Yes, very easy to add an excellent contact. Yes. Thank you, Rishi. Thanks.
Operator: We have time for one additional question, which will come from Siti Panigrahi with Mizuho. Siti, Please go ahead.
Siti Panigrahi: Hi. Thanks for squeezing me in. I'll go back to the contact center. Eric, if you wear your General Manager hat for contact center, and if you look at phone, after two, three years, we saw the inflection point. Now contact center has been now almost like two, three years since we launched. Is this a year for contact center? Or do you think there's some kind of it's a demand side, customers still trying to pause and looking at the AI strategy, there's some kind of delay there. And also we see like Avaya now is not, going to support the AXP customer less than 200 fixed customers. So how do you see contact center opportunity in terms of inflection? When do you think it will be like porn?
Eric Yuan : Yes. First of all, we do see the momentum, right? And in Q3, in terms of a number of seats, larger the deal, Q4 in terms of ARR, so larger the deal. More and more customers realize, wow, Zoom contact center works so well. Look at all the innovation, the scalability and integration with other core services, I think also plus AI. I think we just needed to focus on execution, market opportunity there. We look at our top 10 deals, right, I think if I recall correctly, six or seven to replace the existing in the cloud vendors, right? And then the key is really because given two years ago, I've announced that, right? So given the shorter period of time and customers, they do not realize we have that. Again, this is a marketing problem. We've got to fix that, but we have high confidence on the product side. And I think we do see the momentum now. Hopefully, this year, we can make even more progress compared to like the Zoom phone growth trajectory. We want to beat that, right? So that's always our aspiration.
Michelle Chang : And then, Sidi, please bear your note. So, it was seven of ten, seven coming from cloud, three coming from on prem, and the six of 10 is the momentum in our channel.
Eric Yuan : Yes.
Operator: Thanks, Sidi. And again, everyone, that does conclude our Q&A session for today. Eric, Michelle, any concluding closing remarks?
Eric Yuan : Yes. Thank you all for your time. Really appreciate it.
Michelle Chang : Yeah, thank you.
Operator: You bet. Thanks everyone. And again, this does conclude today's earnings webinar. As always, we thank you all for joining us. We look forward to seeing you next quarter. Take care. Take care.
Eric Yuan : Thank you.
Operator: Goodbye.